Operator: Good morning, and welcome to Flowco Holdings Inc.'s fourth quarter and full year 2025 earnings call. Today's call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I would like to turn the conference over to Andrew Leonpacher, Vice President, Finance, Corporate Development, and Investor Relations at Flowco Holdings Inc. Thank you. You may begin.
Andrew Leonpacher: Good morning, everyone, and thanks for joining us to discuss Flowco Holdings Inc.'s fourth quarter and full year results. Before we begin, we would like to remind you that this conference call may include forward-looking statements. These statements, which are subject to various risks, uncertainties, and assumptions, could cause our actual results to differ materially from these statements. These risks, uncertainties, and assumptions are detailed in this morning's press release, as well as our filings with the SEC, which can be found on our website at ir.flowco-inc.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During our call today, we will also reference certain non-GAAP financial information. We use non-GAAP measures as we believe they more accurately represent the true operational performance and underlying results of our business. The presentation of this non-GAAP financial information is not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with GAAP. Reconciliations of GAAP to non-GAAP measures can be found in this morning's press release and in our SEC filings. Joining me on the call today is our President and Chief Executive Officer, Joe Bob Edwards, and our Chief Financial Officer, Jon Byers. Following our prepared remarks, we will open the call for your questions. With that, I will turn the call over to Joe Bob.
Joe Bob Edwards: Thank you, Andrew. Good morning, everybody, and thank you for joining us today. I will begin today by reviewing our fourth quarter and full year performance, including operational details. Then provide an update on the Valiant acquisition we announced earlier this month. Jon will follow up with more details on our financials, capital allocation, and balance sheet, as well as the mechanics of the Valiant transaction. I will wrap up with our perspective on the current market environment, our outlook for next quarter, and key strategic priorities for the coming year before we open up the line for your questions. Flowco Holdings Inc. ended the year with a very strong fourth quarter, underscoring consistent execution and differentiated growth across both operating segments. In the quarter, we generated $83.5 million of Adjusted EBITDA, exceeding expectations. For the full year, Adjusted EBITDA grew 11% versus pro forma consolidated 2024, even after absorbing approximately $15 million of incremental public company cash costs. This performance demonstrates the strength and durability of our business model in a market environment that remained dynamic throughout the year. Importantly, in the fourth quarter, we maintained our industry-leading margins, driven by the continued strength of our resilient, high-margin rental business. We generated $63 million of free cash flow in the quarter, reducing leverage to levels below where we stood prior to the August acquisition of HPGL and VRU assets from Archrock. This reflects our disciplined approach to capital allocation and reinforces the strength and flexibility of our balance sheet. Turning to operational performance, our rental platform continued to build on strong momentum in the quarter. Rental revenues grew approximately 4% quarter-over-quarter, driven by steady demand for our HPGL and VRU solutions. Customers continue to value these technologies for the reliability and production uplift they deliver, as well as the attractive economics they generate across the life of the well. Importantly, our rental fleet generates contracted recurring revenue, adding durability and visibility to our overall business. We continue to see meaningful runway for these technologies as operators expand deployment across their asset bases, and we are already seeing incremental demand early in 2026 activities. Shifting to sales, we had a solid quarter of growth as anticipated. Within the Natural Gas Technologies segment, we saw healthy activity in vapor recovery sales, along with a notable rebound in natural gas systems. We were also pleased with the performance at downhole components, where we experienced less seasonality than expected. Particularly within conventional gas lift and plunger lift, operators remained focused on deploying these solutions to enhance existing production as they closed out the year, driving better-than-anticipated results and reinforcing the value of our differentiated offerings. Earlier this month, we announced our agreement to purchase Valiant Artificial Lift Solutions at an attractive valuation. Valiant is a leading pure-play provider of ESP systems with an established presence in the Permian Basin. This transaction expands our suite of artificial lift solutions, meaningfully broadens our addressable market, and allows us to support customers with both primary early life lift techniques deployed across the industry. Strategically, this combination strengthens our production optimization platform. Bringing ESP together with HPGL, conventional gas lift, and plunger lift creates meaningful cross-selling opportunities at key transition points over the life of the well, while enhancing our ability to deliver the right solution in each well, every time. We believe our expanded offering will enable us to deliver improved customer outcomes while generating attractive returns and durable free cash flow. The transaction remains subject to customary regulatory approvals, and we expect to close in the first week of March.... Our teams are actively preparing for integration with a focus on disciplined execution and maintaining continuity for customers and employees. Overall, I am very pleased with how the team executed in 2025. We expanded margins, generated robust free cash flow, reduced leverage, grew our rental platform, and laid the groundwork for a strategic step forward with Valiant. We believe Flowco Holdings Inc. is very well positioned for additional success as we move further into 2026. With that, I will turn it back over to Jon.
Jon Byers: Thanks, Joe Bob. Before reviewing some of the key financial metrics and results for the fourth quarter, I would like to provide a reminder on our historical financial information, given the combination of Flowco Holdings Inc., Flogistix, and Estes in June of 2024. Note that any financial information presented prior to the June 20th, 2024 business combination, such as information contained within our full year 2024 performance, reflects only the historical performance for Estes. Financial information for the third and fourth quarters of 2025, as well as the fourth quarter of 2024, reflects the financials for the consolidated entities. Turning to our financials, fourth quarter performance exceeded expectations, reflecting continued growth in our rental fleet and strong performance and profitability across all our sales business units. We reported adjusted net income of $43 million on revenue of $197 million. Total revenue increased 11% sequentially, primarily driven by higher sales across both segments, with the largest contribution coming from Natural Gas Technologies. Supported by the sales growth and further underpinned by the continued expansion of our higher-margin rental portfolio, Adjusted EBITDA increased $6.7 million quarter-over-quarter. Notably, rental revenue, most of which is recurring, surpassed $110 million for the first time in the quarter. As Joe Bob mentioned, we maintained our industry-leading margins in the fourth quarter, achieving Adjusted EBITDA margins of 42.4%. That performance reflects strong operating leverage within our rental fleet, as well as the impact of the revenue mix shift as sales rebounded. In our Production Solutions segment, fourth quarter revenue increased 1.5% sequentially to $127 million, while Adjusted EBITDA increased 4% from the third quarter to $57 million. Adjusted EBITDA margins expanded 110 basis points quarter-over-quarter. Revenue growth was primarily driven by higher rental revenue at surface equipment and better than expected downhole components product sales, as the business unit outperformed typical seasonality. The improvement in Adjusted EBITDA and margin was largely attributable to increased high-margin surface equipment revenue, lower segment-level SG&A, and a more favorable revenue mix compared to the third quarter. In our Natural Gas Technologies segment, fourth quarter revenue increased 36% sequentially to $70 million, while Adjusted EBITDA increased 18.4% to $30 million. The growth was primarily driven by higher natural gas systems and vapor recovery sales during the quarter, along with strong vapor recovery rental performance. Adjusted segment EBITDA margin decreased 634 basis points, reflecting a revenue mix shift towards sales from rentals, particularly through an increase in sales of lower-margin natural gas systems. Turning briefly to corporate costs and SG&A, fourth quarter corporate expenses were roughly flat at $3.9 million. Looking to 2026, we expect annual corporate expenses of $18 million-$20 million associated with the consolidation of corporate functions and completion of the build-out of our public company capabilities. Consolidated fourth quarter Adjusted EBITDA was $83.5 million, as we delivered another quarter of profitable growth. In our first full year as a public company, we delivered 4% year-over-year revenue growth and increased Adjusted EBITDA by 11% versus pro forma consolidated 2024. This performance came despite a more challenging macro backdrop than when we entered the public markets, underscoring our ability to grow in a dynamic environment. This performance reflects the strength of our high-return investments, the scalability of our differentiated platform, and the value our solutions provide to our customers as they maximize recovery and generate cash flow from their existing production base. In the fourth quarter, we deployed $24 million of capital, bringing full-year CapEx, excluding M&A, to $127 million. With the majority of this capital allocated towards expanding our surface equipment and vapor recovery rental fleet to support sustained customer demand at attractive returns. Considering our CapEx investments in the context of return on capital employed, our annualized adjusted ROCE for the quarter was approximately 19%. The sequential increase reflects higher product sales, which more than offset incremental capital deployed for the asset acquisition completed in August. Looking ahead to 2026 and excluding any capital associated with Valiant or other M&A, we expect to invest total CapEx, including maintenance, of approximately $115 million, which should support higher free cash flow for the year. We will continue to assess market conditions and customer activity levels to calibrate the appropriate pace of capital deployment, prioritizing investments that support profitable growth and meet our return thresholds. With a typical investment lead time of approximately 6 months, combined with our vertically integrated manufacturing model, we retain meaningful flexibility to adjust capital investment as we monitor customer demand and broader market conditions. Earlier this month, we entered into a definitive agreement to acquire Valiant Artificial Lift Solutions for approximately $200 million in total consideration. The transaction represents an attractive valuation of approximately 3.9x projected 2026 Adjusted EBITDA, and does not consider any revenue or cost synergies. The purchase price consists of approximately $170 million in cash, and the issuance of roughly 1.5 million shares of Flowco Holdings Inc. Class A common stock, with the cash portion expected to be funded through our existing credit facility. Pro forma for the transaction, we expect leverage to remain conservative at below one turn, and we intend to utilize the combined business's meaningful free cash flow generation to further delever over the course of the year. We expect Valiant to generate approximately $52 million of Adjusted EBITDA for the full year of 2026. As Joe Bob mentioned, we expect the transaction to close in the first week of March, which would result in approximately 10 months of earnings contribution for Flowco Holdings Inc. As we move toward closing, we are focused on executing a disciplined integration plan designed to capture cross-selling opportunities and position the combined platform to drive incremental revenue synergies. Turning to our balance sheet, liquidity, and capital allocation, we ended the quarter in a strong financial position and have made continued progress into the start of the year. As of February 20th, 2026, we had $142 million of borrowings outstanding under our credit facility. With a borrowing base of $722 million, we had $580 million of available capacity. The improvement in liquidity was driven by strong free cash flow generation for the quarter, along with continued progress in net working capital efficiency. On January 30th, Flowco Holdings Inc. declared a quarterly dividend of $0.08 per share, payable on February 25th. The strength and consistency of our cash flow generation give us flexibility to invest in organic growth, execute on strategic opportunities, and return capital to shareholders, all while maintaining a conservative leverage profile. In summary, we delivered a strong fourth quarter, exceeding our Adjusted EBITDA guidance while delivering on the expected strength in sales. As we move into 2026, our rental fleet remains well-positioned to generate stable, predictable earnings, underpinned by durable demand and contracted revenue streams. Across our sales business, we expect continued operational resilience and meaningful free cash flow generation. As we integrate Valiant, we expect to further enhance our growth profile and deepen the advantages of our integrated platform. Supported by disciplined capital allocation and our differentiated operating model, we are confident in our ability to sustain performance and deliver attractive returns in the years ahead. Back to you, Joe Bob.
Joe Bob Edwards: Thanks, Jon. Let us turn now to the market outlook. In 2025, U.S. oil production reached a new record of 13.9 million barrels per day, despite commodity price volatility and macro uncertainty. We believe this sustained production durability is not solely the result of consistent capital deployment, but increasingly reflects our customers' optimization of existing production and improvements in asset-level efficiency. That shift toward maximizing returns from existing production aligns directly with Flowco Holdings Inc.'s core strengths in production optimization, artificial lift, and emissions management and monetization, all of which are increasingly important for sustaining output. Against this backdrop, we are entering 2026 with continued momentum and expect a strong start to the year. For the first quarter, we anticipate Adjusted EBITDA of $82 million-$86 million. We expect continued incremental growth across our surface equipment and vapor recovery rental fleets, supported by strong utilization and contracted revenue visibility. Within Production Solutions, excluding Valiant, we anticipate segment revenue generally consistent with the fourth quarter of 2025. In Natural Gas Technologies, we expect sales activity to be similar to fourth quarter levels as well. As Jon described, we expect corporate expenses to increase modestly in the first quarter. This first quarter guidance also includes approximately one month of contribution from Valiant, assuming the transaction closes in line with our expectations in early March. Beyond the quarter, we remain focused on strengthening our business for sustained long-term value creation. The pending integration of Valiant represents an important next step in expanding our artificial lift capabilities, particularly in ESP, further enhancing the differentiation of our platform and increasing our addressable market in the lower 48 by approximately 70%. We are approaching integration with discipline and clear objectives: capture revenue synergies, leverage our combined expertise to better serve our customers, and build upon the solid operational foundation the Valiant team has built. During the first part of 2026, we are taking our first steps toward expanding our international presence. As we outlined on our investor call regarding Valiant, ESP represents a natural avenue for selective international growth, and we are fortunate to have leadership experience within both Valiant and Flowco Holdings Inc. that has successfully scaled artificial lift businesses globally. Separately, over the past few months, Flowco Holdings Inc. has signed two agreements with partners in the Middle East and Latin America, both of whom will enhance our ability to grow in these important markets. While we remain in the early innings of potential international expansion and will pursue it in a measured, capital-light manner, we are encouraged by the initial response from customers and excited about the long-term opportunity. Across the organization, we continue to advance operational initiatives to drive efficiency and margin expansion. Early applications of our internally developed machine learning capabilities are already improving maintenance planning, uptime, and profitability. Across rig and field footprint, we are identifying opportunities to streamline processes, enhance collaboration, and better leverage our full suite of solutions to serve customers over the life of the well. Looking ahead, we believe continued innovation, technology-enabled efficiency, disciplined capital deployment, and deeper customer partnerships will define the next phase of growth for Flowco Holdings Inc. As we integrate Valiant in 2026 and execute across our business segments, we are confident in our ability to drive incremental growth and long-term value while further advancing Flowco Holdings Inc.'s production optimization strategy. With that, I will turn it back over to the operator for Q&A.
Operator: Thank you. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question comes from the line of Arun Jayaram with JPMorgan. Please proceed with your question.
Arun Jayaram: Good morning, gentlemen.
Joe Bob Edwards: Good morning, Arun.
Arun Jayaram: How are you doing, Joe Bob?
Joe Bob Edwards: Doing great.
Arun Jayaram: To see if you could just talk a little bit about the trends you are seeing between rentals and kind of product sales. It sounds like you hit $110 million in the quarter, how do you expect, you know, maybe just give us a sense of how that mix has been trending and maybe expectations as we think about, you know, 1Q and, you know, over the balance of the year?
Joe Bob Edwards: No, happy to do it. Listen, we have been consistently investing in primarily our HPGL fleet and our VRU fleet, as you know, and that CapEx level, Arun, has driven our growth in rental revenue and rental EBITDA. It has led to a mix shift in the overall company. That is why you see margin improvements quarter-over-quarter, and we expect that to continue in 2026. Jon, we have invested growth CapEx in the $100 million per year range for the last several years.
Jon Byers: That is right. That is right.
Joe Bob Edwards: Arun, I think that is going to continue in 2026. You know, is it going to be at that level or slightly above, slightly below? Market conditions will dictate, but we see no reason to let our foot off the CapEx accelerator because these assets generate really attractive returns, customers like what they do for them, and we are going to continue to do that until there is no more market demand left to be had.
Arun Jayaram: Understood. Joe Bob, you intrigued me on your commentary on pursuing some international growth initiatives. You know, the team and now with Valiant, maybe the product portfolio to do that. Can you maybe just give us a little bit more details on kind of the plans to scale globally? You mentioned two partners in the Middle East and LATAM, but maybe just talk a little bit about what the game plan is for 2026 as you pursue some of these international ambitions?
Joe Bob Edwards: The international expansion is obviously very exciting, but to be clear, we are early, okay. I want everybody to know that it is something on our radar because our customers that we have so loyally supported in the U.S. are looking internationally to export their capability in unconventional development plays that look a lot like what we have experienced in the last 10, 15 years here in the States. We want to support that effort, and to do that, we are getting prepared to follow them, as well as to share with new customers, mainly national oil companies, who are importing U.S.-style innovation to help develop unconventional resource base. In the Middle East region, obviously, there are several very large national oil companies, as well as a handful of multinational independent oil companies, as well as, you know, some household names that are in the early stages of developing unconventional resource base. We want to be there to support them, and we feel like, in particular, with this Valiant acquisition, we have the capability to offer more than what we did before, and we want to set ourselves up for success there. The two agreements that we have signed are partnership agreements in various forms. They are companies that have deep experience in both of those geo markets. They have local service capability. As I said in the prepared remarks, we are going to take a capital-light approach to this first, make sure we have the right sort of local content, the right sort of balanced approach as we take steps into these two international markets.
Arun Jayaram: Great. Thanks a lot, and well done.
Joe Bob Edwards: Thank you.
Operator: Thank you. Our next question comes from the line of Derek Podhaizer with Piper Sandler. Please proceed with your question.
Derek Podhaizer: Hey, good morning, guys. Maybe just to keep going on the Valiant acquisition. It has been a few weeks now since you announced the deal. You are going to close here in a couple of weeks. As you acquired Valiant, even talking to your customers, what has been the initial reaction there now having the ability to fold in ESPs to your overall production optimization solution or toolkit? Just maybe some thoughts and comments around that initial reaction from your customers, you know, what gives you the excitement as you kind of step forward and being able to deliver, you know, all the artificial lift solutions at any time in the well?
Joe Bob Edwards: Yeah, Derek, it has been very positive. As we talk to our customers as well as Valiant customers, and as you would assume, several of those are common. It has been a very welcomed collaboration. We now can truly deliver on what we say we want to do for customers, which is to offer the right solution in their well as they bring it online, right. Previously, we only had the ability to offer a high-pressure gas lift solution early in a well's life. There are wells in the U.S. that are clearly ESP wells. Now we have got both. We can quite credibly now say that we can be there for the life of the well, including both forms of early lift application. In addition to that, and what I said in the prepared remarks, this is a revenue synergy story, okay? The ESP application is only a first year or two or three application in the shale wells, where those systems make sense. What does that mean? Well, at the end of the life of the ESP, those wells go on something else, and they most commonly go on conventional gas lift. We are the market leader in conventional gas lift, so that is a natural sales pipeline for us to pick up as those ESPs get pulled and put on to the next form of lift. That is what we are most excited about, and that is what our commercial teams have been preparing for as we get into integration, when this business, hopefully, closes, early next week.
Derek Podhaizer: Great. That, that is great color. The second question: the free cash flow really impressed this quarter, and conversion stepped up to 55% of EBITDA. Obviously, you have some assumption in there with Archrock acquisition pulling, you know, effectively pulling that CapEx forward. How should we think about the free cash flow conversion of the combined business now with the Valiant moving into 2026? You gave us the CapEx guide, you know, clearly, you had a significant step up. Just trying to work through the moving pieces and how we should think about pro forma, that free cash flow conversion, now with the Archrock assets and now with Valiant.
Joe Bob Edwards: Yeah, Derek, yeah. The Valiant business has similar cash flow conversion characteristics to our business. You know, Q4 was a great quarter, obviously, in terms of cash flow conversion. As we finished our capital plan, we had the Archrock assets that allowed us to pull forward some of the CapEx, and our working capital came down mainly on the back of better DSOs than AR. You know, I do not expect to continue at that level in 2026. I think you see something more along the lines of what you saw over the course of the year in 2025.
Derek Podhaizer: Got it. Very helpful. Appreciate it, guys. I will turn it back.
Operator: Thank you. Our next question comes from the line of Phillip Jungwirth with BMO Capital Markets. Please proceed with your question.
Phillip Jungwirth: Yeah, thanks. Good morning. We heard a lot from the E&Ps this quarter in the Permian about targeting deeper zones, just with Woodford Barnett across the Midland Basin in particular, higher pressure, higher GOR. Recognizing you now offer HPGL and ESP, just, how do you see the optimal lift solution for this type of development and opportunity for Flowco Holdings Inc. if we see more of this in the future?
Joe Bob Edwards: Yeah, good question. Look, it is still early in those new zones. As our customers have pointed out, they are trying to figure out the right not only the right lifting technique, but the right completion technique, right? As one of our more prominent customers said, "Never bet against the American engineer," and that is the camp we sit in. We think that there is a lot of room to go in the additional formations in the Permian in particular. We are right there with them, helping them evaluate early production data as these wells get completed and turned on. You mentioned higher pressures and higher GORs. Look, both of those feed straight into our gas lift solutions. In particular, the high GORs, that is a tough application for ESPs, but it is early. The good news is we have got both, and we have got an active dialogue going with a lot of the folks that are targeting formations like the Barnett. Very exciting that they are making progress, and we are here to support them.
Phillip Jungwirth: Okay, great. On the Valiant acquisition call, you did mention selling ESPs into non-Permian markets where they historically have not had a presence. Can you talk through how quickly you look to penetrate these markets? When you... Also, as somewhat of a new entrant, what are the things you look to do just to maintain comparable margins in these other basins to what Valiant has realized in the past?
Joe Bob Edwards: The good news is, we have got a footprint that expands beyond the Permian to markets that are big ESP markets in the States. A lot of the work has, to an extent, already been done with local presence, with local infrastructure, and obviously, the customer day-to-day contacts and service that goes along with being in those markets. The natural markets are the Bakken and the MidCon, okay? These are two, you know, tried-and-true ESP markets. They are not nearly as large as the Permian, but these are areas where we have footprint, and we have active dialogue with customers to hopefully support them there. As for margin profile, I think time will tell. I think, we are expecting those markets to be pretty similar to the Permian from our past history. They are not as deep, but they are every bit as profitable for service companies compared to the Permian.
Phillip Jungwirth: Great, thanks.
Operator: Thank you. Our next question comes from the line of Keith Beckmann with Pickering Energy Partners. Please proceed with your question.
Keith Beckmann: Hey, thanks for taking my question. I just wanted to ask another sort of M&A question around, you know, we had the Valiant acquisition that really broadened out the portfolio and opened up kind of the total TAM that you are going to be able to address here. Wanted to know if there is any other acquisition opportunities or products that you see you are missing at this point. You guys have a lot of other stuff, I expect it to be something smaller, but just wanted to get an idea, on if there is any other production optimization or elsewhere, holes in your portfolio you think that you could fill?
Joe Bob Edwards: Yeah, Keith, we are always looking for the right opportunities, the right types of people, the right types of cultures to join our team. We do have a robust M&A pipeline, as you would expect. We have been very clear with investors that we want to round out the product portfolio, and we want to expand the geographies in which we operate, while always staying true to our production focus. Look, there are a handful of additional lift capabilities that we do not have in the toolkit. There are complementary services and technologies that go along with lift that we can either build or buy. As we said in the prepared remarks, there is a big international market out there that we can either go attack organically or via acquisition or both. All the above are on the table. I would say that we are going to stay true to what we have told investors and what we have told ourselves and our board, which is we are going to be disciplined. We are going to put every opportunity through the screen of returns and never lose sight of the fact that we are here to serve our customers in this production phase, which is what we feel like we do really well. Look, stay tuned, we are excited to get this transformative deal done hopefully early next week.
Keith Beckmann: Awesome. That is really helpful. My second question was just kinda asking around CapEx lead times. If I remember right, I believe that you guys kinda have a 6-month investment lead time on customer projects was sort of the right way to think about it, I believe. I wanted to know if that changed at all, looking at the ESP market, has that changed at all? Excuse me. Is the ESP market different at all? Has the 6-month investment lead time changed at all here over the last year?
Joe Bob Edwards: It is pretty consistent. The ESP business, the supply chain that supports the ESP business, not just for us, but for all of our competition, it is a slightly more complicated supply chain. You have got some international navigation you need to do. The 6-month lead time is pretty consistent. It is also not a build to order. It is a, you know, you are building inventory in advance of expected customer demand. This is the same thing we are doing in our other product lines. I think that the 6-month lead time is pretty accurate. Jon mentioned the cash flow conversion, the margin profile. It is all remarkably consistent with what we currently have. The only added complexity is the slightly more complicated supply chain, which we are very comfortable navigating. No, I think you are thinking about it the right way.
Keith Beckmann: Okay, perfect. Thanks for taking my questions. I will turn it back.
Joe Bob Edwards: You bet.
Operator: Thank you. Ladies and gentlemen, as a reminder, if you would like to join the question queue, please press star one on your telephone keypad. Our next question comes from the line of Jeff LeBlanc with TPH. Please proceed with your question.
Jeff LeBlanc: Good morning, Joe Bob and team. Thank you for taking my question.
Joe Bob Edwards: You bet. Hey, Jeff.
Jeff LeBlanc: As operators are more vocal about developing secondary horizons and continuing to extend lateral lanes, have you observed any shifts on how your customers are approaching artificial lift across a well's life, whether it be assuming the primary form of artificial lift is in place for longer or preemptively mapping out their solutions for the various stages? Thank you.
Joe Bob Edwards: Look, I would say that operators are just more pointedly, they are focused on production. They are focused on making do with less. They are looking to their existing reservoirs for longevity, for durability, and lift is part of that conversation. As it relates to us, Jeff, we are increasingly talking with operators proactively about the prospective changes in lift as a well matures, okay? As a production profile gets to a level where the existing lift solution becomes less effective, we are right there with them to propose changes, to propose modifications. We do this early in the well's life. We also do this prospectively. We host four artificial lift schools per year for free to our customers in kind of the usual places you would expect: Houston, Midland, Oklahoma City, Denver. We are always talking with customers about the tools that we can provide them to give them that look at preventative and proactive lift change-outs, okay. It is not just lift, it is other things too that are helping them make their production more durable. We are just pleased to be part of that conversation and to be proactive with each one of our customers.
Jeff LeBlanc: Thank you for the color. I will hand the call back to the operator.
Operator: Thank you. Ladies and gentlemen, that concludes our question and answer session. I will turn the floor back to Mr. Edwards for final comments.
Joe Bob Edwards: Well, thank you all for tuning in, and, everybody, have a great weekend and a great 2026.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.